Silvia Ruiz: Good afternoon or good morning, depending on where you are, everybody. This is Silvia Ruiz speaking, and I would like to welcome you to Ferrovial's conference call to discuss the financial results for the third quarter of 2024. I am joined here today by our CFO, Mr. Ernesto López Mozo; and by our Corporate Finance Director, Ignacio del Pino. Just as a reminder, both the results report and the presentation are available on our website since yesterday evening after the U.S. market was closed. At the end of the presentation, there will be a Q&A session. [Operator Instructions] With all this, I will hand over to Ernesto. Ernesto, the floor is yours.
Ernesto López Mozo: Thank you, Silvia, and hello to everybody. Well, we have another set of strong results this quarter, in the overview, we can see that Toll Roads continue to benefit from increased mobility in Canada in the 407. The U.S. managed lens posted solid revenue per transaction growth. Also in airports, we had record-breaking numbers at Heathrow and also strong growth in AGS and Dalaman. Construction had another quarter with profitability improvement when we look into the whole 9 months of 2024, we have a 3.9% EBIT margin. In terms of cash, this has been a quarter -- well, the first 9 months where we have received dividends from infrastructure assets of €490 million, and this includes the first dividend from the I-77. Also, we had proceeds from the sale of a 5% stake in IRB, €211 million. And also, we had proceeds from the divestment of the Amey Vendor loan, €176 million and also Serveo €40 million. This has been also gone hand-in-hand with investments and shareholder distributions. We were catching up with last year with shareholder distributions, mainly buybacks of €749 million. And also we invested the IRB Infrastructure Trust at €652 million. And of course, we continue with the development of NTO and investment of equity here was €319 million. I mean different events that were announced since the first half of the year. One of them is the additional buyback program for a maximum amount of €300 million. We have, in the first 9 months of the year, we have already invested €75 million in our treasury shares. So that's on top of the number that we -- that I mentioned before of shareholder distributions. This is treasury stock. In terms of other transactions, we had an agreement to transfer the economic rights of concessions in Europe and Canada through our JV with Interogo Holding and cash received was €100 million, but this was in October. So this number is not in the net debt position over the first nine months. And then lastly, we announced yesterday the second scrip dividend as per the approval of the shareholder meeting earlier in the year. Okay. If we move on to the next slide. We start with the Toll Roads performance. And we see that the whole division had a strong double-digit growth in revenue and EBITDA. But I would like to highlight the numbers we have in the bubbles that relate to the North American assets. I mean the U.S. Toll Roads had revenues and EBITDA growing in excess of 20%. And in terms of dividends from North American assets, we had €444 million dividends compared to just below €400 million, €393 million in the first nine months of the past year. If we move on to the next slide, please, we move into the 407. And the 407 has had a strong quarter. In terms of traffic, I mean, we, I mean, saw increased mobility and commuting. We have to highlight weather effects here. And well, there was heavy rain in much bigger -- much higher number of days than in the past year and also with a heavy downfall, and this affected traffic. In terms of the revenues, I would like to have a look at the breakdown that we show on the top right-hand corner, we see a good growth in toll revenues outpacing other quarters. Also the fee revenues that were affecting comparison in the past quarters, now have a slight growth, that helps and contract revenue that was reflected in the first months of last year, now is not part of the comparison. And that gives a number of growth in total revenue of 16.1% for this quarter. In terms of dividends, I would like to highlight that the 407 dividends paid in the first half and third quarter of CAD 175 million plus CAD 225 million and it has approved a dividend for the last quarter of the year of CAD 700 million. So this is an important growth compared to last year. If we move on to the Dallas Fort Worth managed lanes. Here, we have the solid revenue per transaction growth that I was mentioning at the beginning. In NTE, we have traffic and revenue impacted by the capacity improvement construction works. I mean this is performing much better than what we expected, but clearly, the works are affecting. Whereas in LBJ, we have solid traffic growth even though it's affected by construction works, some of the connections have already improved from the past year. So we are starting to see also a part of the mobility coming back and that shows in the growth of LBJ. And in the NTE 35 West, we have traffic growth benefiting from the opening of segment 3C last year. And of course, well, this outperformance means that we're also having some revenue share. And in the third quarter, the EBITDA includes $3.4 million of revenue share, this is accrued on a quarterly basis since the second quarter 2024. And therefore, for the first nine months of 2024, the number of revenue share is $10.1 million. Okay? So we also have at the bottom, the dividend distributions of at 100% shareholder base of the different assets and you see the strong performance. As a reference, we have the soft cap update of 3.4%. And usually, when you're able to beat that growth is related to mandatory modes that we have in NTE and is the main driver of also the comparison vis-a-vis last year. And we have had mandatory modes this quarter, but they were more frequent last year without the ultimate capacity, right? So that affects the comparison but is very healthy and strong. If we move to the next one, please. In the I-77, we have a strong revenue growth in terms of the traffic, the performance vis-a-vis the same quarter last year. We have to refer to construction works that were benefiting the 2023 traffic. And also this quarter, we had impacts from hurricanes Debbie and Helene. And well, I must mention that it has affected negatively, and we -- I mean, don't comment into the performance after the close of the quarter. But I mean, the situation in North Carolina is that there are different roads closed and traffic has been diverted to the I-77 and of course, this is helping the performance a lot throughout October. I don't give specific numbers, but this is just a warning so that you don't extrapolate this performance in September into your October numbers going forward. Of course, the performance of the asset means that we are having revenue share as well. We have $1.2 million in Q3 and when we look into the full 9 months of 2024, the revenue share is $3.6 million. I would like to highlight not only the revenue per transaction growth but also the first dividend distribution at 100%, it was $293 million. When we look into the I-66 on the right side of the slide, we see some stabilization in traffic. Well, part of this is also related to similar effects. I mean in the Q3 of 2023, still completion works were very intense and that was affecting traffic in the general purpose lanes, helping traffic on the I-66. And also this year, we had impact from hurricanes, Debbie and Helene. So I mean, this has been affecting the comparison, the renew per transaction keeps growing healthily. Okay. We move to the next slide. Here, we get into the Airports division, and Heathrow, well, you probably have seen the results already with record-breaking passenger numbers. Of course, this -- the comparison to 2023 is affected by the gliding path of the aeronautical tariffs that was set by the CAA. And therefore, you have a drop in revenue and EBITDA. EBITDA also affected by higher cost to basically service the high demand of traffic. Okay. If we move over to the next one. In other airports, we see solid growth in the AGS with revenue growing at a high-single digit, adjusted EBITDA even above 20%. So strong growth and the different assets, the big one, Glasgow is driving most of the growth. Southampton is growing. Aberdeen is more stable. On the right-hand side, we have Dalaman that had the busiest 9 months ever recorded. And this growth is also looking strong with a 7.4% growth in revenues, international traffic is growing. And really, the area is growing as an attractive tourism destination. In fact, the region has been declared a tourism development area. So we should expect more hotels being built and more capacity to attract passengers through the airport. Regarding new Terminal 1, it's on track. Really the project is -- construction is performing really well. It's within budget and schedule. And we're also advancing in the negotiation with airlines for the opening, let's say, 2 years down the road or a little bit more. And here, we have 9 airlines that have been signed during the first 9 -- until the first 9 months of 2024. And well the new airlines are mentioned in the slide, EVA Air, Air Serbia, SAS and Neos. In terms of equity contribution, they follow the pace of the project, $347 million have been injected in the first 9 months of 2024, and in the third quarter, it was $160 million. The total investment up to September 30 this year is $641 million, the total since the beginning. And we have a pending commitment of $501 million. I mean, in the first half of the year, we had a successful issuance of $2.55 billion long-term green PABs. Okay. We move to the next slide. Construction, a very strong quarter. Basically, I mean, the comparison with last year is very strong because last year, we still had impact from closing of big projects. Now we have a healthy backlog and margins are up across the board, right? So we have a 7.8% EBIT margin in the first nine months of the year for Budimex, 3.0% in Webber and Ferrovial construction had a good recovery with 1.9% EBIT margin. As I said, the order book is at peak levels. We think it's a healthy backlog, and we still are not reflecting €2.3 billion in contracts that are being or pending financial close or final signing. Okay. So if we move to the P&L. We have the P&L, I mean, broken down into revenue, EBITDA and EBIT for the first nine months of the year and then for the third quarter. So we see that growth is very strong this quarter, and of course, for the first nine months, even more so. So very solid and strong operational results. If we move on to the net debt graph here, and we see -- I mean, the main captions were already discussed in the introduction. I mean we had a strong number of dividend from -- dividends from projects, close to €500 million. This is €490 million. Construction has some cash drain, I mean, better than last year to this point in time. But I mean, it's during a little bit of cash. And then you have other cash flow from other operating activities. And taxes, in taxes, the main impacts are from Budimex and also from cash repatriated from Canada that has a 5% withholding tax and the -- to the right of these cash flow operations, we have the investment activities. And here, we have all the investments that I mentioned before. And you also have here the interest received on the cash in hand and divestments. So clearly a year where we are focused on investment and shareholder remuneration. In terms of financing activity, as I mentioned, the focus has been shareholder distributions, catching up with last year. We also have other treasury shares acquisition. And then we have cash flow from -- used in financing activities. And here, you have a repayment of bond through European commercial paper. You have, for instance, the dividend in Budimex -- minorities holders, all these captions that are well described in the note that was published yesterday. Okay. So good cash performance in the different captions with a strong focus on investment and shareholder remuneration. Just to close the presentation before getting into the Q&A. I mean really strong performance across the board in infrastructure assets, construction profitability clearly improving and no, I mean we have to remember, you have the 3.5% guidance that we provided for this year. We are there clearly. Then we have growth investments combined with shareholder distributors that I mentioned and a sizable pipeline ahead. So pipeline is accelerating. Okay. So thanks for bearing with us, and we open the floor for the Q&A session.
Silvia Ruiz: Thank you, Ernesto. The Q&A session will start shortly. Please, operator, just go ahead.
Operator: [Operator Instructions] Our first question comes from the line of Graham Hunt from Jefferies. Please go ahead.
Graham Hunt: Hey thank you very much. Just two for me. So you speak to -- this is a good pipeline of opportunities in Express Lanes in the U.S. in your statement. Just wondering how do you put yourself in the best position to compete for these assets? Obviously, a disappointing result, I think, in Atlanta in the quarter. But going forward, is it just the case of price? Or are there other levers that you can pull to give yourself the best opportunity versus your competitors? And then second question, if competition is increasing for these express lanes, how are you thinking about other investment opportunities. We're seeing more and more activity in European data centers, for example, would that be an area that Ferrovial would consider investing in? Thanks.
Ernesto López Mozo: Thanks, Graham. So well, basically, those are excellent questions. I mean we will compete with the tools that help us. And one of them is designed. For instance, in the one we lost -- we had a -- a very designed according to the granter in terms of points. And then, of course, we will look for the -- with financial discipline for all the angles with all the information we have. The fact that the pipeline is segmented gives us a fair chance of winning new business. In terms of other alternatives for investments, yes, we keep looking at things across all our divisions. [indiscernible] was looking more for bespoke opportunities, but energy is looking for things more so developers and not really -- I mean, thinking of big investment tickets, but a good development activity and other things that you mentioned could come natural given our capabilities, but it's not something where we expect important tickets at this point in time, right? So yes, if we are building data centers, there could be an opportunity to be part of a value chain, but that's all we can comment at this point in time.
Graham Hunt: Thank you.
Operator: Our next question comes from the line of Elodie Rall from JPMorgan. Please go ahead.
Elodie Rall: Hi, thank you for taking my questions. My first question is on the NTE. I was wondering how long do you think that traffic is going to continue to be impacted by the capacity improvement construction works? My second question is on the Schedule 22 of the 407, and particularly about the provision that I think you'll start taking in 2025, so could you give us a bit more color on when you will really start taking it and announce it and if you have any preliminary estimates? And my third question is on the U.S. line in terms of like the U.S. equity line, do you have any plans to boost the liquidity on the listing there to get into the U.S. indices? Thank you.
Ernesto López Mozo: Thanks, Elodie. So Ignacio will take the first one regarding NTE ultimate capacity, and I will take a Schedule 22 and the U.S. line.
Ignacio del Pino: Perfect. Thank you, Elodie. On NTE, the construction works are expected to go through early 2027. So up until that point is when you should expect construction impacts.
Ernesto López Mozo: Okay. Regarding Schedule 22, we will start accruing Schedule 22 in the first quarter results of 2025. They won't follow an even pattern. So the -- I mean, the provision will tend to be more concentrated in Q2 and Q3 that are the ones that have more traffic related to the busiest hours in terms of business days. That is what marks the Schedule 22, and yes, we will be updating as results go by. That's our intention at the moment. Then regarding the third question, the U.S. line. We are basically doing the usual stuff that comes with education, more presence in the U.S. with investors. So it's building up awareness and that's the plan for the moment. As you rightly said, indices require a decent level of liquidity going forward, but you have to start as we are starting now, right? So the plan is education and more broad awareness with U.S. investors for the time being.
Elodie Rall: Okay, thank you.
Ernesto López Mozo: Thank you.
Operator: Our next question comes from the line of Augustin Cendre from Stifel. Please go ahead.
Augustin Cendre: Hello and thank you for taking my questions. I've got a couple, but my first one is on your creation of the JV with Interogo Holding. I was wondering what the strategic rationale was for the creation of this JV. Is this part of your strategy to move your focus towards North America moving away from European assets? Any explanation would be appreciated. In terms of your traffic on the I-66 and I-77, I was wondering if you could quantify the traffic impact of weather and how much is due to other effects. And finally, it's probably more of a technical question, but I noticed that Webber and Ferrovial construction figures looked a bit different than before as if some activities were transferred from Ferrovial construction to Webber. So I was wondering what changed in terms of the reporting? Thank you.
Ernesto López Mozo: Thanks. Okay. So I will take the first question, Ignacio, the second and probably I'll take the third. Depends on how it flows. Okay. So basically, the creation of the JV with Interogo, we rotate assets. And I mean, these assets, I mean, basically are mature. Most of them are availability and we think is -- we thought it was the right time to rotate them. And it also provides, let's say, a venue for more of this type of rotation going forward, right? So basically, it's the last of availabilities we had in Europe, right? That was the reason for the rotation of assets.
Ignacio del Pino: I-66 and I-77, as you rightfully pointed out, weather was an adverse effect in Q3 in both assets, but unfortunately, we cannot provide an indication of the size of that impact.
Ernesto López Mozo: Okay. Regarding the part from construction to move to Webber. I mean we will come with some detail. It's not material. It's likely related to energy efficiency business, but we'll come back to you with more details. It's not material.
Operator: Our next question comes from the line of Gregor Kuglitsch from UBS. Please go ahead.
Gregor Kuglitsch: Hi, thanks for taking my questions. Can I push maybe a little bit more on the sort of I-66 and I-77? I guess I'm interested, perhaps if you take out, I guess, the month of September, how traffic would have looked just to sort of July and August to get a sense, I guess, of the underlying, I guess, perhaps you don't want to quantify, but just give us an idea. And then on the I-66, which really saw sort of pretty noticeable slowdown in transaction growth, would you say that, that basically reflects the fact that, that asset is now give or take, ramped up? Or do you still expect more of a ramp-up from here? Then moving on to capital return. So you've done a lot this year and obviously announced the buyback in the summer. So can you just remind us sort of summing up all the different bids. I think some of it is catch up from last year. Some of it is obviously this year's dividend, which you're partly paying out in scripts, some in cash and then the additional buyback, you just summarize for us what sort of basically carry over? And what is sort of, I guess, additional? And then maybe a final question on the new tenders, appreciating that they're all sort of early days, but -- can you perhaps put an envelope, I don't know, CapEx or equity around the various projects in combination, so you don't show your hand perhaps for each individual asset. I appreciate that. But sort of to give us an idea how big these are. Thank you.
Ernesto López Mozo: Okay. Thanks. Well, that's a lot of questions. I don't know if I was able to write them all down. So we are going to be asking probably for you to re-ask some of the questions that we -- what we missed, okay? So the first on I-66, Ignacio will take. I will look into the second one.
Ignacio del Pino: Yes. You were asking about whether we can split performance within Q3 in both I-66 and I-77 taking out September. So July and August, and unfortunately, that's not a point we will provide. On your second question, which was about the slowdown in traffic growth in I-66 and whether we should read this as the end of ramp-up, as we've pointed out, the Q3 stand-alone figure is impacted by a negative comparison on construction works on the previous year and adverse weather, so it would be early to conclude that this is the end of ramp-up.
Gregor Kuglitsch: Yes, thank you.
Ernesto López Mozo: Okay. So I will take the one on -- okay, there's two more to go, right? And one of them is what can we take as remuneration from last year that we were catching up and then about the other side. So catching up this year is an amount of €270 million. If you want to look at that way, the rest is this year remuneration, right? And then regarding the size of the pending projects. Well, for commercial reasons, I won't enter into that. I mean, granters will probably come out with some CapEx figures going forward. But at this point in time, we won't be commenting thanks for bearing with us.
Operator: Our next question comes from the line of Marcin Wojtal from Bank of America. Please go ahead.
Marcin Wojtal: Yes, hello thank you for taking my questions. I wanted to ask you about capital allocation again. At the time of your Capital Markets Day in early 2024, you indicated that one of the scenarios could be the possibility of a special dividend supported by proceeds from disposals. What is your latest thinking on that scenario? And when do you think you will make a decision?
Ernesto López Mozo: Thanks, Marcin. So, yes. I mean we are basically looking at that as we mentioned at the Capital Markets Day, probably we would see a combination of investment, remuneration, buybacks. I mean, the conference call for the full year results in February 2025, probably is the right time to address this to the market, right? So I mean, please bear with us.
Marcin Wojtal: Thank you.
Operator: Our next question comes from the rank of Sathish Sivakumar from Citi. Please go ahead.
Sathish Sivakumar: Thanks. I've got two questions here. Firstly, on the NTO and the second is around the construction segment. So on the NTO, you mentioned that, yes, you have signed long-term agreements with nine airlines. Can you like comment on what is the arrangement in terms of volume versus price? And what does it -- the current agreement with the airlines meant in terms of how much of capacity you kind of contracted it out right now? And then the second is around the construction segment. And you do say that you focus more on the local markets and lower rate of large designs. So basically, does it imply your average contract size and the time period of projects that you do has kind of reduced versus what it used to be? If so, what is the average contract size and duration right now? Thank you.
Ernesto López Mozo: Okay. Well, I will take the question regarding NTO. And well, basically, the only thing we can disclose there is that we are now above the 30% revenues for traffic for 2027. And well, that's all I can comment now. I mean we don't disclose volume and price references. Regarding the construction segment, okay, Ignacio can take this one?
Ignacio del Pino: On the Construction segment, as you pointed out, there's a lower weighting of design-and-build contracts. It is true that these are typically longer in length and larger in volume. But unfortunately, we can't provide any visibility on how the average contract size has moved.
Sathish Sivakumar: And going forward, would you like by design actually push for lower like size, value and lower -- shorter duration contracts? Or just to get a sense like what is the upside here in terms of margin?
Ernesto López Mozo: Okay. I mean going forward, I mean the focus, as we've mentioned, is in projects where we can, I mean, help win infrastructure that creates value, right? And I mean, those usually have a higher size, but I mean, the pipeline probably will take a little bit of time to materialize, right? And in the short term, yes, there could be some big projects that we think are interesting and good in the terms of our capabilities. And here, if it's not for an infrastructure sister company, basically will take all the CapEx regarding risk management and margin, right? So there's not any specific vision on size of course, on average, we should be moving more around the sizes that we were discussing now that are lower. But as I said, we are open to bigger projects, if it makes sense, and in particular, if it's for our infrastructure companies.
Sathish Sivakumar: Okay, got it. Thank you.
Operator: [Operator Instructions] And our next question comes from the line of Nicolo Pessina from Mediobanca. Please go ahead.
Nicolo Pessina: Yes, good afternoon everyone. I had a couple of questions on the 407 ETR. It seems like pricing, the focus was more on pricing in the third quarter rather than on traffic differently from the second quarter. I wonder if this approach, if my reading is correct and still, the evolution of the average revenue per transaction seems to be lower than the tariff increase that was implemented in February. I understand that the tariff increase was only for eight months, that it applies only to revenues and not the total revenues. But still, it seems like they're using 200 to 300 basis points difference. So I'm wondering if you can explain the reason behind this gap. And finally, still on the 407 ETR pricing, if you have a strategy for next year when Schedule 22 calculations will become relevant if you intend to introduce aggressively promotion discounts in order to stimulate traffic and minimize the Schedule 22 payments? Thank you.
Ernesto López Mozo: Okay, thanks. Well, regarding pricing, as we have mentioned in the past, and I think that the slide with the breakdown of revenues shows comparison is affected not only by that one month that we were mentioning, but also if you look at the contract revenues that basically were present last year and affect the growth. But more importantly, there is some fees like transponder fees, stricter charges that they had zero increase this year, right? And that basically that dilutes the effect. But that doesn't mean that we cannot raise this anytime, right? So just bear that in mind, right? So a percentage of the revenues I mean they didn't have any increase in price, toll per kilometer did, right? So that's how you see that, that has affected. But the -- the performance is very strong. As I said, there's no reason to think that, that cannot change going forward, and you could increase the different parameters that go into the revenues. Regarding the next year's strategy. I mean, we are not to disclose that now. But of course, the different loyalty activities and schemes that have been tested this year would play an important role next year. The reaction from clients has been positive. And yes, we expect that to be more present, right? So we cannot provide any information regarding next year, but yes that logically, that will play a more important role. And I don't know if I missed part of the questions?
Nicolo Pessina: No, it's all clear. Thanks a lot.
Ernesto López Mozo: Thank you. I would take the opportunity also to complete the question from Augustin regarding the transfer of business between Webber and Ferrovial construction that really it was Ferrovial construction, the part in the U.S. that is embedded in the -- of course, in the Ferrovial construction CapEx, right? So the water business in Webber that was previously 50% Webber 50% in Ferrovial construction, the U.S. part has been transferred. And basically, this doesn't impact EBIT margins at all. I mean it's not really changing anything much really there. And basically, it aligns with the margins in Webber.
Operator: Next question comes from the line of Augustin Cendre from Stifel. Please go ahead.
Augustin Cendre: Yes, so I've got one remaining question on your Ferrovial construction business. I was wondering how you expect your activity to evolve going forward in context of your lower order book? I see it's down 10% year-on-year. And I was wondering if you could comment probably on the timing of this current order book in terms of the projects you see in your pipeline? Thank you.
Ernesto López Mozo: Okay. So well, basically, I mean, you need to look to the Construction business as a whole. But you're mentioning that is Ferrovial Construction. I mean, the drop in backlog is because basically the big projects in the U.S. that we mentioned throughout the past years are done, right? And that basically has brought down the backlog. And here, yes, opportunities could come with sister companies, as I mentioned before, I mean, we shouldn't be taking a read on any specific plans for this area because it also includes other countries, right? So I mean the order book remains high overall and there is no specific plan to recover this one. I mean we should look at it as a whole.
Augustin Cendre: Thank you.
Operator: There are no further questions from the conference call at this time. So I hand the conference back to you. Thank you.
Silvia Ruiz: Thank you for that. And so I will start reading -- there are a couple of questions through the webcast, so I will start reading them. First set of questions come from Patrick Creuset from Goldman Sachs. First question, how do you assess the 407 ETR pricing power for 2025, 2026 relative to the price increase in 2024?
Ignacio del Pino: Thank you. As we've stated multiple times up until now, the value provided to users by 407 ETR remains very strong and the price elasticity to this year's increase has been below our expectations. So we remain optimistic about the medium and long-term potential of the asset. Having said that, we cannot provide any guidance on future toll rate increases.
Silvia Ruiz: Next question from Patrick. Could you please share your thoughts on the risk from a, plans to tunnel highway below Highway 401 in Toronto and b, a potential buyback of the 407 ETR by the grantor?
Ernesto López Mozo: Well, regarding the last one, a potential buyback of the 407 by the grantor, I mean we have had no contact, no indication. I mean there's nothing to comment on our side. And regarding the tunnel is the same. I mean it's early days, comments on the news, but nothing -- it's too early to comment on any of these initiatives. We have to wait to see, if anything, has any prospect.
Silvia Ruiz: And last question from Patrick. If you increase shareholder distributions this year, do you see scope for a more formalized distribution policy going forward, linked, for example, to annual distributions from the underlying infra assets?
Ernesto López Mozo: Thanks, Patrick. Probably, I'll defer you again to the same way I deflected to the full year conference call to have more color in distribution policy. So I mean, please bear with us.
Silvia Ruiz: And the last question that we have in the webcast comes from Álvaro Navarro from Bestinver. About dividends received from managed lanes, could you forecast total dividends in 2024 to surpass €500 million? If you cannot answer this, please, could you give some guidance for this year and 2025?
Ernesto López Mozo: I'm sorry, Álvaro, we don't provide any guidance on this topic.
Silvia Ruiz: Okay. It seems there are no further questions. Thank you very much.
Ernesto López Mozo: Yes. Thanks a lot, and thank you for attending the conference call. We'll shoot you in the short term. Thank you. Bye-bye.